Operator: Welcome to the First Quarter 2023 Financial Results and Business Update Conference Call for Yield10 Bioscience. During the call, participants will be in a listen-only mode. The presenters will address questions from analysts today. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference call over to your host, Yield10 Vice President of Planning and Corporate Communications, Lynne Brum.
Lynne Brum: Thank you, Maria, and good afternoon, everyone. Welcome to the Yield10 Bioscience first quarter 2023 conference call. Joining me on the call today are President and CEO, Dr. Oliver Peoples; Vice President of Research and Chief Science Officer, Dr. Kristi Snell; and Chief Accounting Officer, Chuck Haaser. Earlier this afternoon, Yield10 issued our first quarter 2023 financial results. This press release, as well as slides that accompany today's presentation are available on the Investor Relations Events section of our website at yield10bio.com. Let's turn to Slide 2. Please note that as part of our discussion today management will be making forward-looking statements. These statements are not guarantees of future performance, and therefore, you should not place undue reliance on them. Investors are also cautioned that statements are not strictly historical constitute forward-looking statements. And such forward-looking statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. These risks include risks and uncertainties detailed in Yield10's filings with the SEC. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. I'll turn the call over to Oli.
Oliver Peoples: Thanks, Lynne. Good afternoon everyone and thanks for joining our call. I'm pleased to report that we are making solid progress across the business as we operationalize our commercial plan to launch Camelina as a platform crop with a year-term focus on the biofuel feed stock market. Today, we'll provide an update on our business, including recent accomplishments, the market opportunity and trends driving the biofuel market. Our progress developing herbicide tolerant Camelina varieties, our plan to scale-up EPA Omega 3 Camelina present first quarter financials and summarize key milestones. We will then open the call up to questions. Let's turn to Slide 3, advancing the business. Commercial launch of our Camelina seed products business is underway, targeting the biofuel feedstock market. We are expecting our first grain revenue later in 2023 from the grain produced for our winter 2022, 2023 and spring 2023 grower contracts. I'm also happy to report that our team has met our target for signing up spring grower contracts. Seed delivery and planting has either been completed or will be completed in the next week or so. The photo on the top right side of the slide shows the planting under grower site in Alberta. Our team reported that our winter Camelina, last fall, has demonstrated excellent cold tolerance over the season and is resuming growth now that the warmer weather has returned. Both crops will be harvested in third quarter and we are committed to ensuring green offtake to crush, refine our customers. On the business development side, our team continues to engage with potential supply chain partners. Last week, we signed a letter of intent with Marathon Petroleum for an investment and offtake agreement for Camelina production in a specific growing region. Discussion to finalize terms for definitive offtake and investment agreements are in place – are in progress, sorry. In exchange for a period of exclusivity for that region, Marathon paid Yield10 1 million in the form of [indiscernible] note. In first quarter, we announced the signing of an MOU with Mitsubishi to establish a partnership for supply offtake in marketing of Camelina Oil as a feedstock oil for biofuels for sustainable aviation fuel or SAF, and we continue to progress those offtake discussions. We also announced the signing of an MOU with American Airlines to collaborate to develop the value chain for Camelina or SAF and we are delighted with the efforts they are making to assist us. We look forward to continuing to work with Marathon, Mitsubishi and American in the months ahead. Early in the year, we also signed an agreement with a privately owned integrated crusher/biorefiner customer for offtake of Camelina grain. This business is located in the key commercial launch growing region and provides a complete seat to biofuel value chain allowing us to scale Camelina. As 2023 progresses, we plan to continue discussions with additional partner prospects with the goal of creating the option to establish a network of alliances, supply Camelina feedstock oil for this market. In our role as a grain originator, we are continuing to scale up seed to enable contract growing in thousands of acres in the near-term with the ramp up [indiscernible] towards accelerating with the introduction of herbicide tolerant Camelina varieties. Our herbicide tolerant technology will provide multiple benefits to growers and we believe this will lead to hundreds of thousands and then the first million acres of annual production. Our goal is to supply the best-in-class Camelina varieties industry providing ease of crop integration at the current crop rotations and highest on farm returns. Let's start to Slide 4. The Camelina biofuel feedstock oil focus. Investments to convert refineries from petroleum to biofuels in the U.S. alone has created demand for an additional 6 billion gallons of feedstock oil in the near-term. We believe this demand for renewable diesel, as well as SAF could lead to potential for at least 45 million acres of Camelina production in North America. Over our last few investor calls, we have mentioned growing tailwinds increasing vegetable oil production or decarbonizing biofuels.  Let's now turn to Slide 5. to recap two recent policy announcements that underscore the potential for Camelina for this market. First, the European Parliament last week reached an agreement named the ReFuelEU Aviation proposal. This agreement embodies a set of new rules to require aviation fuel suppliers to supply a minimum share of SAF at EU airports starting at 2% of overall fuel, it's around 1 million gallons per day starting in 2024, and rising to 6% in 2030 and 70% in 2050. While this initiative [indiscernible] EU members, it demonstrates global momentum behind decarbonizing transportation fuels and another potential source of demand for feedstock oils. And last week, the Canadian regulatory body, CFIA published its long awaited guidance on genome-edited crops. CFIA indicated that they will treat most genome-edited crops as non-regulated, as long as the plant does not contain any foreign DNA. The new rule does note that for any new traits for herbicide tolerance even if it produces in genome-editing will need to be submitted for CFIA review. [Indiscernible] was anticipated by the ag community. Overall, another very positive announcement for crop innovators like yield 10. Please turn to Slide 6, oilseed cover crop development approaches. There are multiple new oilseed crops in commercial development for the biofuel market including Pennycress, [indiscernible] and Camelina. The common technology in [indiscernible] has been access to public germplasm, [live selection] [ph], and breeding. We are committed to that approach, but have also invested significantly in developing proprietary advanced trade technologies to create a path to high performance elite Camelina germplasm. In addition to herbicide tolerance, our unique capabilities to identify and test new performance traits to stack traits leveraging the improved regulatory environment in the U.S. and Canada provide us path to further performance differentiation for our varieties. In the early days of ag biotech, a single gene trade was a large differentiator and essential to remain in the commodity [row crop] [ph] seed business as evidenced by the sub sector consolidation. The Big 5 Monsanto, DuPont, Bayer, Syngenta and the like, then dominated the sector and for the more recent consolidation, we created the top 2 Corteva and Bayer with Syngenta third and BASF becoming the leader in canola. Today, elite germplasm with multiple gene stacks of corn and soybean provide high barriers to entry and are the key differentiators for the seed companies. So, we believe we are uniquely positioned based on our advanced trade technologies to deliver continuous improvements drive grow revenue and secure production acres over time. Now, let's turn to Slide 7. Camelina based biofuel feedstocks. Grower adoption of Camelina as a seamless integral part of the crop rotation is key to making Camelina a meaningful source of feedstock oil. Increasing harvest value of the grain to drive grow revenue is also critical. So, we're placing strong emphasis in technology innovation to provide growers with continuous improvement in the crop. Finally growers want to see that the value chain is in place to ensure that Camelina grain has a clear path to market. Simply put, we are planning to make straightforward and profitable for our growers to produce Camelina grain for Yield10. Let's now turn to Slide 9, establishing the Camelina value chain. There are three components of the biofuel value chain for Catalina. The first is high quality Camelina seed and contract farming. This is where Yield10 has the capabilities to build unique differentiation in our Camelina seed genetics. The second component is logistics and seed crushing. And the third is refining to produce renewable diesel or SAF. New customers such as American Airlines can also play a role as they commit to the use of sustainable fuels. Our vision for the business is to contract with growers for large scale production and build a network of alliances for contracted offtake of the grain for biofuels with the deal going into animal feed. Our LOI with Marathon, as well as our MOUs with Mitsubishi and American demonstrate the potential for establishing downstream efficiencies committed to accelerating the ramp up of Camelina acres to supply the biofuel market and provide support to inhibitors like Yield10. I will now pass the call over to Kristi.
Kristi Snell: Thanks, Oli, and good afternoon everyone. Please turn to Slide 9. We are executing on our early commercial activities in close co-operation with our growers with the focus on three Camelina varieties. These include the genome-edited spring E3902 Camelina variety, as well as two winter Camelina varieties, WDH2 and WDH3, which were produced by our team using a plant reading procedure. We are also using these three core Camelina varieties as a chassis for deploying herbicide tolerance traits for weed control into spring and winter Camelina. Please turn to Slide 10. Our winter variety field testing program includes well over 20 sites denoted with the blue pins on the map of the U.S. and Canada. In our March call, we indicated that we obtained confirmation of the performance of our herbicide tolerant spring Camelina, the application of an over the top broad leaf herbicide in U.S. Contra-season trials performed at locations indicated by the yellow pins on the slides. Our winter program also includes agronomy trials with winter Camelina. One such study involves planting winter Camelina side-by-side with winter weed, which is the benchmark crop for winter planting. The cold hardiness of our winter Camelina was found to be better or equivalent to winter weed in this trial. As the season progresses, we'll plan to post photos of our winter Camelina fields on our website. Please turn to Slide 11. We are conducting our spring 2023 field testing program at 13 sites in the U.S. and Canada. The trials include additional field testing and seed scale up of our lead spring herbicide tolerant Camelina line. In addition, we have generated candidate stack herbicide tolerant Camelina events for first field testing. We will evaluate the data from these Camelina lines to enable the selection of lead and backup Camelina lines for subsequent seed, scale-up, and field testing. We also remain encouraged by the performance of our yield traits and have included C3004 and C3007 in our 2023 field test. We are not only interested in what these novel trades can do to increase seed yield or oil content alone, but we also plan to evaluate these traits in stacked combinations. Let's turn to Slide 12. There has been a profound change in the regulatory environment for crop innovations, driven by the impact of gene-editing and an appreciation for the space deployment of new traits and crops for over 30 years. These deployment of herbicide tolerance in Camelina will involve the completion of a series of performance, regulatory, and seed scale up milestones to enable the commercial launch of these new varieties in U.S. On this slide, we have identified the major development milestones and track these for spring herbicide tolerance E3902 Camelina, as well as for our winter herbicide tolerant lines based on WDH2 and WDH3. For our spring variety, we have checked the box for generating the herbicide tolerance events and have selected our lead and back-up Clines for seed scale up. We filed our RSR package for broad leaf herbicide tolerance to USDA-APHIS under the secure rule, a step we took last year in parallel with starting early development of herbicide tolerant Camelina. We have followed these activities with an application to EPA to request the label amendment for a broad leaf herbicide to allow its use on Camelina. This application was submitted to EPA by a third-party manufacturer of the herbicide chemistry. We believe these applications at USDA and EPA will be reviewed during 2023 to early 2024. Finally, we will perform comparative analyses of seed from herbicide tolerant Camelina with those from conventional Camelina to demonstrate compositional equivalency. This is necessary to sell the high protein Camelina meal remaining after crushing the seed into the animal feed market. Here we plan to sample and collect compositional data from seeds harvested from our 2023 spring trials. We plan to determine compositional equivalency of seed to allow sale of meal first using a self-determination process and then with the voluntary submission to FDA that is reviewed by the agency. I believe our team has a good handle on the process and the timeline to launch, which will be driven by the timing completing regulatory reviews in conjunction with building sufficient seed inventory for launch. Let's turn to Slide 13. We know that growers want broad leaf and grassy weed control for Camelina. As you may recall from our field trial activities, we have successfully completed two cycles of testing our Camelina for herbicide tolerance. This herbicide tolerant event is in our elite proprietary E3902 background. We also successfully tested our Camelina for tolerance to [indiscernible], a product used to control grassy weeds. On the regulatory front, we filed an RSR package to USDA-APHIS for deployment of a well-studied broad leaf herbicide trait in Camelina in 2022. In the first quarter of 2023, we supported the submission of a label amendment to EPA by a third-party company to allow the use of its broad leaf herbicide on Camelina, the response from both agencies is pending. This spring, we plan to conduct larger scale field work for product development purposes for our herbicide tolerant spring Camelina and to collect data for compositional analysis of seed.  We have also developed winter lines that have demonstrated broad leaf herbicide tolerance and greenhouse test. In winter 2023, 2024, we plan to conduct our first field test of these lines. Let's turn to Slide 14. To tap into the large acreage potential of Camelina, the crop needs to have plants to herbicide residues that may persist in the soil from previous applications on other crops. We continue to make solid progress on this goal. In the first quarter, we reported to meet that we have developed multiple E3902 spring Camelina lines with stacked herbicide tolerance traits and that these plants showed tolerance not only to spray application of broad leaf herbicides, but also to group 2 herbicides. Group 2 herbicides as IMIs and SUs, which can persist in soil for months following applications are commonly used to control weeds and cereals and other crops. The photo on the slide shows an example greenhouse test in which a stacked herbicide tolerant event was healthy when treated with group 2 herbicides, where the control line died with a similar treatment. Based on our proof-of-concept results, we are conducting our first research field tests of stacked herbicide tolerant E3902 spring Camelina in our spring 2023 field test program. Our team is also making progress deploying stacked herbicide tolerance traits in our winter varieties. We anticipate our first research field test of stacked herbicide tolerant winter lines will begin in winter 2023. With our product development efforts moving ahead at a good pace, we filed an RSR for stacked herbicide tolerance, Camelina in the first quarter of 2023 that paved the way for commercial introduction of these stacked herbicide tolerant varieties. As I wrap up, I'd like to acknowledge the efforts of the Yield10 R&D teams to positioning Yield10 on the forefront of technology deployment in Camelina. In the months ahead, we look forward to field testing of our best commercial quality herbicide tolerant Camelina lines, advancing omega-3 oils, and securing regulatory clearances for our elite Camelina products. I'll now hand the call over to Chuck.
Chuck Haaser: Thanks, Kristi, and good afternoon everyone. Let's turn to Slide 17. We ended the first quarter of 2023 with 1.8 million in cash and cash equivalents. Earlier this month, we added to our cash position based on receiving $1 million from Marathon Petroleum in connection with an LOI and we raised approximately 2.7 million net proceeds from our registered direct offering. We expect that our cash on hand support our operations into the third quarter of 2023. Our net operating cash used for operating activities was 2.7 million for the first quarter of 2023 as compared to 3.1 million for the first quarter of last year. For 2023, we expect total net cash usage in the range of 12.5 million to 13.0 million to fund our operations. This represents a revision from our last call based on a recent review of our plans for 2023. Also in 2023, we expect to report our first Camelina product revenue from Camelina grain sales to our offtake customer. Now let’s review the first quarter 2023 operating results. For the first quarter of 2023, the company reported a net loss after taxes of 3.8 million, as compared to a net loss after taxes of 3.3 million for the first quarter of 2022. Total research grant revenues in the first quarter of 2023 were 0.1 million and this was consistent with the first quarter of 2022. As of March 31, we completed our work under the 5-year sub award under the Michigan State [BOE grant] [ph]. And in the first quarter of 2023, R&D expenses were 2.2 million as compared to 1.8 million in the first quarter of 2022 and our G&A expenses were 1.7 million in the first quarter of this year, which was consistent with the first quarter of last year. For more details on our financial results, please refer to the earnings release. Oli, back to you.
Oliver Peoples: Thanks, Chuck. Let's now turn to Slide 18, upcoming milestones. This is an exciting time for Yield10. Over the last few months, our team has made significant progress and we've established agreements across the biofuel value chain. We're excited to work with the teams at Marathon and Mitsubishi in the months ahead on developing definitive offtake and investment agreements. We are also excited by the discussions we've had with growers, including their enthusiasm to gain access to our HT varieties as soon as they are commercially available because they see additional benefits for their crop rotations. These factors together with the growing interest from additional value chain partner prospects, are all good reasons to be excited about the future of our business. We've executed on the development and scale of new Camelina varieties for commercial production, advanced discussions with companies committed to the biofuel space and have committed to our commercial path forward with Omega 3, Camelina. We are approaching the scaling of our Camelina grain production business using our current lead varieties tactically over the next 1 to 2 years with a strong focus in building the relationships of course and demonstrating the full value chain for our partners. We believe this will position us to accelerate the adoption of Camelina onto hundreds of thousands of acres as our new varieties with robust weed control become available. Essentially, we plan to walk slow so we can run fast based on building a solid foundation over the next couple of years. As 2023 progresses, we will continue to focus on executing our key milestones, including working with Marathon and Mitsubishi to finalize investment and offtake agreements, engaging with American Airlines to support the Camelina value chain or SAF, expanding our commercial activities targeting renewable diesel and SAF markets, engaging with growers to reduce the benefits of growing Camelina and expand our grower network, building seed inventory of [carton and HT varieties] [ph] for future grower contracts. We'll also progress the commercial launch plan for Camelina Omega-3 oils. Continue business development without reach to prospective partners across the entire value chain with the goal of executing strategic industry collaborations. And we'll continue to expand their intellectual property portfolio. With that, I'd like to turn the call back over to Lynne for questions.
Lynne Brum: Thanks, Oli. Maria, we're ready for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Ben Klieve with Lake Street Capital Markets. Please proceed with your question.
Ben Klieve: Alright. Thanks for taking my questions. First one around the herbicide tolerance traits. First of all, congratulations. It looks like there's been an awful lot of progress there, but curious about kind of the outlook here over the next couple of years. You noted that commercial launch in 2025 for spring variety is your expectation and Oli, you expect that this is going to really be what allows you to scale. Given that herbicide tolerance traits and other crops will typically launch at a pretty material scale in year one, I'm wondering if you can kind of directionally help us understand, kind of the magnitude of an initial launch of herbicide tolerance trait in Camelina relative to kind of what your expecting in 2023 and 2024 from an acreage perspective?
Oliver Peoples: Yes. So, I mean, obviously, it's a little premature to provide guidance on that. But I think generally speaking, you're quite correct. When companies have launched these types of technologies, there's two things that have happened. One, they tend to be launched at a reasonable scale; and two, they then essentially take over the entire space. That's been the track record starting with [indiscernible] soybean and essentially the fuel was the same thing and I think cotton was the same thing. So, they clearly are highly valued by growers and we understand that. I think for us, as Kristi has indicated, we've got to work through this RSR. We've got to get that approved. We've got again the EPA label amendment. We've got to generate the data to confirm for ourselves basically the meal is not – is essentially unchanged. All of this work is ongoing. And we'll take some time. And then we've got to scale up seeds to have sufficient seed available for the growers. And so, that's why I think the guidance we provided on walking slow over 2023, 2024 based on non HT varieties is the right path for us to take. Once we've got more clarity on these key questions that need to be resolved, I think at that time, we'll be willing to talk more about what the scale could be when we launch this.
Ben Klieve: Okay. Very helpful. And Oli on your prepared comments, I heard you loud and clear about your, kind of assessment of germplasm and the importance in germplasm. And I'm wondering if you can elaborate at all if the potential commercial partners be at Mitsubishi and American Marathon or anybody else, to what extent those partners see this value as well? Is this something that is really appreciated on a commercial scale from these parties or is this something that, kind of [agnostic] [ph] like you and me enjoy talking about?
Oliver Peoples: Yes. It's a little bit of the latter, mainly because these – keep in mind these folks are used to running either buying oil and running pipelines and refineries and essentially getting fuels into the transportation sector. It's a very different environment. That is actually one of the challenges is that the – really are looking at this value chain, which is inherently based on [seed-genetics] [ph] and many, many contracts with growers as the foundation for supply. I mean, the whole value chain is dependent on this. What they do appreciate is they really appreciate our approach with the growers. I think everyone in the value chain including the fuel companies fully recognize that the role of the growers is key and that the growers have to be rewarded for doing this and protected in early years to make sure that they stick with us for the long-term because quite frankly, without the feedstock then the biofuel sector is going to have some real challenges.
Ben Klieve: Got it. That was very helpful. And one last one for me and I'll get back in line. The last couple of years, around this time, you've talked about, kind of some kind of acute issues with precipitation in some of your growing areas and then you need to truck in water to certain to certain plots. Can you just kind of update us on the general conditions of your plots from a precipitation standpoint?
Kristi Snell: Well, I think it's still early days, but so far I haven't heard of any negative issues that have come up, but we're still very much in the midst of planting right now.
Ben Klieve: Okay. Very good.
Oliver Peoples: Maybe one additional piece of color on that, I was visiting Kansas field sites with one of our potential partners, potential strategic partner, looking at some of our winter Camelina lines in those areas. And they had actually had no snow cover and yet the winter lines even though they'd be very severe minus 30 weather, the winter lines were actually looking very good. So, we're very pleased with this sort of robustness of the winter trade in these – this quite remarkable actually. And so, that's been something we're very pleased.
Ben Klieve: Got it. Got it. Good to hear. Very good. Well, thanks for taking my questions. I'll get back in line.
Kristi Snell: Thanks Ben.
Operator: Our next question comes from Anthony Vendetti with Maxim Group. Please proceed with your question.
Anthony Vendetti: Thank you. I just wanted to talk about, Oli, these what I would categorize as statement deals with Mitsubishi American, and Marathon Petroleum. I know they're MOUs, but can you talk about what the milestones are that have to be achieved and what the expectation is of getting these to definitive agreements, some type of general timeline or milestones or expectations that they're waiting for or looking for? Thanks so much.
Oliver Peoples: I think there are a couple of things. Obviously, with Mitsubishi, we're dealing with an international company. And essentially managing the fact that most of the folks we're dealing with are Japanese and they're just a great to deal with. So, we're just working through the details of things. Again, like other companies, their goal is to be in SAF production with [indiscernible] starting the launch of a plant sometime in 2025, 2026, I believe in Japan. And then then obviously they probably will look at other investments in this area as well. And so there, it's obviously it's more a moderate convincing them of the fact that we are able to do this site visits to the R&D facilities [indiscernible]. And so, they've done a lot of technical due diligence obviously to get comfortable around this. But in general, I would say the outcomes have been very positive, which is really a credit to the technology team like electricity and obviously the work that we're doing in the growth contracts. So, that's all green, obviously, pretty much on the timelines that these indicated initially. And now Marathon is a little different. And that Marathon has refinery up in North Dakota. It has about 200 million gallon per year capacity. They also have a partnership with ADM and a soybean crushing facility in North Dakota, obviously to supply feedstock for biofuels. And then we believe they're the joint venture partner with Neste in California refinery, which I think is somewhere around 700 million gallons of feedstock oil. And so, obviously they're really in this. They're in this now. And they're obviously from the interactions we've had with them, they're very keen to see the scale to be seeing Camelina oil made available for those facilities in the shortest period of time. Now, we are working with them and we've been working with them since we announced that last week on definitive offtake agreements and we'll continue that process over the next 3 months to 4 months with a goal to get it executed as soon as possible.
Anthony Vendetti: Okay. So, work within the next 3 or 4 months. Okay. So, it's possible that some of these could result in definitive agreements or Marathon, particularly could result in a definitive agreement before the end of the year?
Oliver Peoples : Well, our goal is to get it done in the timeline I indicated.
Anthony Vendetti: Yes. So 3 to 4 months, will get you by the September timeframe.
Oliver Peoples: I’ll let you know.
Anthony Vendetti: Yes. Okay. So that's the hope. But okay, that's great.
Oliver Peoples: We're working against both companies.
Anthony Vendetti: Right, right. So, you said there's 13 sites that have already been selected for spring Camelina growing season, 13 sites, are they – you said in Canada and the U.S or is it mostly Canada? 
Kristi Snell: It's on page – Anthony, that's on Page 11 and that's the field testing program that Kristi provided an overview of. We have not put pins on the map for the spring contract growers. That would be a different set of farms where their acres planted were between 45 and over 200. So, we've not provided pens on the separate spring growers.
Oliver Peoples: Yes. One of the things that's happening is clearly when you look at this industry as a whole, obviously, there's a number of factors driving interest in [indiscernible] oilseed crops. One is just the sheer volume demand for vegetable oil. The second of course is really getting to the lowest CI score feedstock possible and of course [winter, spring which are Camelina] [ph] will have potential to drive that very, very low. The third of course is in some areas or at least some regions, there's already beginning to be pushback on the use of [PAM] [ph] and soybean oil. And so as you look at all of this, you realize that alternative oilseeds, particularly oilseeds that can be planted when the land would otherwise be like follow are going to play a fairly critical role in this space. And so in addition to the companies we mentioned, we have indicated in-bound inquiries from other partner prospects, which we've been responded to. But right now, our goal is to work hard with the Marathon guys to get something done in the timeline we indicated. And to continue the work we're doing with Mitsubishi. Those would be in set different geographies, so there's no real conflict there. And we believe that both could ultimately be done, but we can provide firm guidelines on Mitsubishi, but we can assure you that both Marathon and Yield10 fully understand the goal.
Anthony Vendetti: Right, right. Okay. No, that's helpful. And I guess that was a good segue, which you just touched on. You're very focused on these three, but you're still having, you're having additional discussions with other potential partners as simultaneously or concurrently while working to close these two definitive agreements.
Oliver Peoples: Yes. And I think obviously our intent with these – the existing partners is to close the deals. Again, until the deal is closed, we need to make sure that we are continuing to work on the various partner prospects that we have and develop the best options for yield tank, which is what we're doing.
Anthony Vendetti: Okay, excellent. Thanks so much. I'll hop back in the queue. Appreciate it.
Kristi Snell: Thanks, Anthony.
Operator: Our next question comes from Sameer Joshi with H.C. Wainwright. Please proceed with your question.
Sameer Joshi: Yes. Good afternoon. Thanks for taking my questions. Just a clarification on the tens of thousands of acres to be planted, should that be expected in the 2024 spring or fall season? Can you just give us a little bit of...?
Oliver Peoples : Yes. So, Sameer, what we really said in terms of – I think we've said hundreds of thousands of acres once tens of hundreds of thousands of acres once we have the HT varieties and I think Kristi has indicated that that would potentially be a 2025 event. So, likely spring 2025 at the earliest. Yes.
Kristi Snell: I would say, like in the time between now and then, we're going to continue to outreach to growers, engage them in our program, engage them in spring and winter contracts so that we can build and transition well over time into the HT launch.
Oliver Peoples: Yes. And I think one of the key points here, Sameer is, basically we're really – we have a great working relationship with this private company that we've mentioned who basically is contracting the green offtake from us. And processing into oil and getting the oil into biofuel. And obviously in the early years of this business, when we won't be at, I would say full commercial scale did a really valuable partner for us. In that, we can scale to can't say because we haven't agreed what we can say here, but the point is, we can scale from where we are today, continue to build the grower network, build the interest, not only in what we're doing with spring and winter, but also particularly in the HT lines. And I will say the growers in the region were active, are pretty excited about that. And again, it was for reasons I didn't quite understand until I talked to them. That is because a lot of the crops that grow in these areas, they don't have good weed control and therefore when they grow those crops, they create increased weed pressure. And something like this Camelina we're developing would be a great way to, a, get a valuable crop. And b, actually to reduce weed pressure for the following crop in the rotation. So, there's multiple reasons that growers do things and we're learning a lot about this as we work with them. And what we're seeing is that we definitely made a rough switch. Kristi and the team made the right decisions on the herbicide package and the farmers are pretty excited about it.
Sameer Joshi: Got it. Thanks for that. And just another clarification on commercial launch and revenue expectations in later in 2023. Are these revenues from the growers or is there another party involved from whom you will receive these revenues?
Oliver Peoples: So, basically because these are grain, we are basically – we are basically buying the grain from the grower and we are selling the grain to a crusher refiner. So, our revenues will come from the sale of the grain to the crusher refinery.
Sameer Joshi: Oh, okay. So, when you say the spring grower contracting completed on Slide 3. That's the purchase from the grower.
Oliver Peoples: So that means that the growers have signed contracts to produce Camelina grain for us. That grain will be harvested in the fall of this year.
Sameer Joshi: Understood. Got it.
Oliver Peoples: We will essentially, over time, we will essentially acquire it from the grower and essentially sell it to the grain crusher refiner.
Sameer Joshi: Understood. So, a part or any of these grain, are they going to be used as seeds for the next year's crop or how does that work?
Oliver Peoples: So, we did plan some – we did plan scale up acres last year as well or last fall. So, some of this will be used for that purpose. What we have to do obviously with – we've got – we're trying to be very carefully managed, I would say planting seed inventory and not scale the existing lines too big because obviously we want to be able to switch over very efficiently to the herbicide tolerant lines. And so, we're trying to manage that [2023, 2024] [ph], shall we say seed inventory for core contracts. And so, we're not trying to produce vast quantities of this. We're trying to manage it fairly carefully. And that's why we've indicated that over these two years, we're going to walk very slowly and continue to build the grower network, build interest in the crop. But really we see 2025 or whenever the herbicide technology comes available, as really when we will start to ramp up.
Sameer Joshi : Understood. And my last question is about costs. It's sort of three questions in one related topics. The reduction in net cash usage, is it because you are expecting some cash flows from sales or is it because you are rationalizing some of costs. And then corollary to that is, are there more areas of cost rationalizing that you would be targeting in the future, especially given that you are engaged in these NOUs in the [low] [ph] and those will also need some resources. So, just wanted to understand how you're managing that?
Oliver Peoples: Yes. So, as you know, Yield10 has always been very judicious and cash management. I mean, that's been one of the real strengths of the company. We manage cash very carefully and obviously in the current financing environment. And given, sort of magnitude at the level of partner interest we have, we are obviously contingent to do so and as part of our process in this last quarter, we did rationalize some of the activities. We haven't [aired] [ph] back anything in terms of biofuels. We are progressing Omega-3, but we decided to wait on some potential hires for the growth of the business at this time. Pending essentially securing additional partnerships and then obviously financing.
Sameer Joshi: And the net cash usage does it involve any proceeds from the sales revenues, I mean?
Oliver Peoples: Yes. We anticipate sales of revenue contributing to the net cash [indiscernible].
Chuck Haaser: Yes, it's reflected in that estimate. We'll have some cash coming in later this year from harvesting the grain and selling it.
Kristi Snell : I don't think that was the driver of the revision though, Sameer. It wasn't the driver of the revision. It was more of, kind of taking a good look at the business, looking at budgets and moving forward the way Oli said.
Oliver Peoples : Yes. And we've – essentially, we recognize that the biofuel opportunity right in front of us and with a number in the high quality partner prospects. Obviously, we're focusing our energies and our resources around that area in the time being. And obviously, as we execute on some of those, then we'll look at reactivating some of the other activities if and when it makes sense.
Sameer Joshi: Understood. Yes, thanks for clarifying. I just wanted to make sure that the cash was net cash and not just operating cash. Thanks for that. That's all from me. Thank you.
Kristi Snell: Thank you, Sameer.
Operator: We have reached the end of our question-and-answer session. I would now like to turn the floor back over to Lynne Brum for closing comments. Go ahead.
Lynne Brum: Thanks, Maria. And I'll now turn the call to Oli for his closing remarks.
Oliver Peoples: Yes. So, I'd like to personally thank all of you for joining us for the call tonight. And especially our shareholders for your continued support. I want to thank everyone at Yield10 for contributions that are keeping us on track to reach our commercial and product development goals. Have a nice evening, everyone. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.